Operator: Good morning, and welcome to the GreenPower Motor Company's Second Quarter Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would like now to turn the conference over to Mr. Michael Sieffert, Chief Financial Officer of GreenPower. Please go ahead.
Michael Sieffert: Thank you. This is Michael Sieffert, the Chief Financial Officer of GreenPower Motor Company. I would like to welcome everyone to our call to discuss GreenPower's financial results for the 3 and 6 months ended September 30, 2024, and to provide an update on GreenPower's operations and manufacturing. I'm here today with our Chief Executive Officer, Fraser Atkinson; and our President, Brendan Riley. During today's call, we may make comments or statements about our future expectations, plans and prospects, which may constitute forward-looking statements for the purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995 and applicable Canadian securities laws. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in our quarterly interim results and MD&A filed on SEDAR and on EDGAR. In addition, these forward-looking statements relate to the date on which they are made. We anticipate subsequent events and developments may cause the company's views to change. GreenPower disclaims any intention or obligation to update or to revise any forward-looking statements, whether as a result of new information, future events or otherwise. Also, during the course of today's call, we may refer to certain non-IFRS financial measures. Reconciliation of these non-IFRS financial measures can be found in our MD&A. For additional information on the results of operations for the period ended September 30, 2024, you can access the financial statements and MD&A posted on GreenPower's website as well as on www.sedarplus.com or filed on EDGAR. I will now pass the call over to GreenPower's CEO, Fraser Atkinson.
Fraser Atkinson: Thank you, Michael. I'm going to start with GreenPower's strategy and the recent election. We still don't know the extent of changes that will be made to federal programs. However, it's safe to say that it won't be the status quo. We are expecting changes with the EPA Clean School Bus program and the $40,000 IRA tax credit to name a few. The perception of many is that the change in the administration and the Senate doesn't bode well for the EV sector. While that might be true for some EV OEMs, that's not the case with GreenPower. For over a year, our strategy has been to be opportunistic with federal programs in the short term, but the longer-term focus has been on states that have put policies and plans in place to provide a cleaner, healthier ride for students through the deployment of electric school buses, states like California and New York and regions like the Southwest. Many of these states have already indicated that they will continue to push for the electrification of school buses and commercial vehicles. GreenPower has over 300 live orders and qualified leads for our all-electric school buses and are well positioned to add to these. Next, I want to give you a quick snapshot of our current quarter. Earlier today, we announced that we had shipped 8 of our EV Stars to Wash U in St. Louis. There will be 2 more EV Stars delivered to Wash U for a total of 10, which is a follow-on order to the 5 EV Stars that we delivered around 2 years ago, a great testament to our EV Star with the follow-on order. Combined with the deliveries of 9 Type D BEAST all-electric school buses, 1 Type A Nano BEAST and 2 EV Star passenger vans in the first half of this quarter, we are close to surpassing the total number of vehicles delivered during the September 30 quarter. Lastly, we have talked recently about our tradable credits. California's Advanced Clean Truck regulation, the EPA's Phase 3 GHG regulation and NHTSA's fuel consumption credit program, along with other state-level mandates each include credit trading programs that provide manufacturers enhanced compliance flexibility and the opportunity for reduced compliance costs through the acquisition of credits. Being a manufacturer of all-electric vehicles, GreenPower has no internal deficits and is thus positioned to trade every credit it generates. The medium heavy-duty or as we refer -- or as it's referred to, the MHD market, is new. According to the California Resource Board, only 2 trades have been completed to date as opposed to the light-duty sector where companies like Tesla have been trading credits for years. In their most recent quarter, they reported revenue of $739 million. Close to 25% of Tesla's gross profit is due to the sale of their credits. GreenPower has generated hundreds of tradable credits and will continue to generate significant numbers of tradable credits. We have signed several NDAs with OEMs and have engaged a broker who is a seasoned veteran with trading credits with manufacturers of light-duty vehicles. So we are working on monetizing these credits. I'll now turn it over to Brendan to discuss our operations.
Brendan Riley: Thank you, Fraser. I'd like to remind the listeners on this call that our mantra at GreenPower is creating compelling EV products offered at compelling prices, all while generating a gross profit. This past quarter, we have been developing a path so that our products are made in a timely manner. We have added a new large volume paint booth and have been busy doing a relayout of our production floor, which has added space for more simultaneous school buses on the line. While you don't see it in our deliveries yet, we have been increasing the number of units on the factory floor. This increase in production, coupled with manufacturing process improvements is expected to result in higher gross profit margins and cost reductions on a per unit basis as the throughput improves. Throughout the last quarter, we have held multiple job fairs that have yielded excellent production talent, and we have added all of these to our ranks. We have seen seasoned production staff graduate from BridgeValley College with certificates leveraging a program that we, at GreenPower help developed. Our goal is to increase production so that we are consistently building and shipping 20 units per month. Steady, measured growth, a foundation of GreenPower's model is critical for maintaining quality throughout the production process. This has to be done profitably and efficiently. And here at GP, our goal is to lower production and material costs while increasing volume and maintaining quality. Now I'd like to hand it over to Michael to discuss financial highlights.
Michael Sieffert: Thank you, Brendan. For the three months ended September 30, 2024, GreenPower generated revenue of $5.3 million, which was a 78% increase over revenue generated in the first quarter. Our cost of sales for the quarter was $4.9 million, and we generated a gross profit of approximately $460,000 or 8.6% of revenues. Our revenue was generated from the sale of 11 Type D all-electric school buses, 6 EV Star Cargo Plus and 5 EV Stars as well as revenue from leases from the sale of parts and from our Truck Body division. Our lower-than-anticipated gross profit margin this quarter was primarily due to negative gross profit margins at the company's Truck Body division, and this was caused by lower throughput compared to prior periods in this division. Management expects gross profit margin to increase as throughput at the Truck Body division increases. For the quarter ended September 30, 2024, compared to the quarter ended September 30, 2023, our SG&A costs declined by $630,000 or 12.1%. The reduction in these expenses was primarily due to reductions in professional fees and share-based payments and salaries and administration costs as well as some recoveries and allowance for credit losses, and these were partially offset by increases in other expenses. We continue to utilize the EDC revolving credit facility during the quarter to fund production, and we finished the quarter with approximately $850,000 remaining in available liquidity of the facility. This facility, along with EDC letter of credit guarantees, continue to be an important source of capital for our company, and they allow us to fund investments in inventory over time. In October, we completed an underwritten offering of 3 million common shares, raising gross proceeds of $3 million. The net proceeds from this offering are intended for the production of all-electric vehicles, including RV school buses and EV Star commercial vehicles for product development with the remainder, if any, for general corporate purposes. Finally, we continue to receive important and much needed financial support from GreenPower's directors and officers during and after the quarter. I'll now pass the call back over to Fraser.
Fraser Atkinson: At this time, we'll open it up for any questions that our listeners have.
Operator: [Operator Instructions] the first question comes from Mr. Tate Sullivan of the Maxim Group.
Tate Sullivan: And to start, I'm looking at the October 28 press release with the update on the EPA funding for 50 electric school buses. What are the logistics of getting that funding? Does it go to the districts buying the buses? Is there any way to get that funding in the door before delivery of the buses? Or is it still a work in progress or in negotiation, please?
Fraser Atkinson: Well, we -- it's a state that we have a dealer in. And so it's -- the EPA contract is with the dealer and our arrangement is with our dealer. So we're one step removed, if you will, from the EPA contract. And then as far as the timing of funding and so on, I think your characterization of work in process would be quite appropriate.
Tate Sullivan: Okay. Understood. And can you update on the cab and chassis units in inventory? Are these still potentially going to a certain number of customers or a single customer? How should we look at that unit delivery opportunity going forward?
Fraser Atkinson: So we have a tranche of cab and chassis that we have put through for production of both Nano BEAST and our EV Star Plus or mobility access, which is the shuttle vehicle that uses a very similar build and body as our Type A Nano BEAST. So we are utilizing them for that purpose. And then with a number of the qualified leads that we have -- and when we say qualified leads, we're talking about an order that is up to a point where we're sorting out infrastructure, we're getting the -- the funding may already be in place for it, but there's other logistical issues or approvals required. So for some of those, we -- there are -- these are also for Type A Nano BEAST that we would need to increase production in order to fulfill.
Tate Sullivan: Okay. And on the tradable credit effort -- and look, I mean, they -- they're within -- I mean, Tesla does a good job breaking them out and the growth in that revenue stream for Tesla. Are there -- have you seen other companies recognize? Or would you be one of the few companies besides Tesla that could monetize this effort?
Fraser Atkinson: Well, to the best of our knowledge – and to give you context, there’s 24 manufacturers that are listed by California for the medium and heavy-duty sales that would give rise to either a deficit or a credit that would potentially offset a deficit. And these include companies like Isuzu, Stellantis, Daimler, Paccar and so on, so some traditional as well as a number of pure EV players. But in the medium and heavy-duty space for all those, we haven’t encountered any that have disclosed either the purchase of tradable credits or the sale of tradable credits. But at the light duty, not just Tesla, but Rivian has certainly – they have made trades or have disclosed trades and reported them on their financials just like Tesla. So the light-duty space is, I would characterize as fairly advanced. There’s a market. There’s hundreds of millions of dollars trade on a quarterly basis, not even just an annual basis anymore. Whereas on the medium and heavy duty, according to CARB, there have only ever been just 2 trades, and those were earlier this year for tradable credits.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Fraser Atkinson for any closing remarks.
Fraser Atkinson: In closing, as we stated earlier this fiscal year, we expected to see a step-up in our deliveries each quarter. Halfway through our current quarter, we’re close to surpassing the total deliveries in our most recent September 30 quarter. As you heard today, we’re also making advancements with our manufacturing process in West Virginia. While there have been headwinds in the EV sector, we are uniquely positioned to take advantage of numerous opportunities in the medium and heavy-duty EV sector. Brendan, Michael and I are available for any follow-up questions you might have. Thank you for your support. This ends today’s call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.